Operator: Good day, and welcome to the MarineMax Fourth Quarter and Year End Earnings Conference Call. Today’s call is being recorded. At this time, I'd like to turn the call over to Mr. Brad Cohen at ICR. Please go ahead.
Brad Cohen - ICR: Thank you, operator. Good morning, everyone. And thank you for joining this discussion of MarineMax’s 2012 fiscal fourth quarter and year end results. I am sure that you have all received a copy of the press release that went out this morning, but if you have not, please call Linda Cameron at 727-531-1700 and she will fax or e-mail one to you directly. I would now like to introduce the management team of MarineMax, Bill McGill, Chairman, President and Chief Executive Officer; and Mike McLamb, Chief Financial Officer of the company. Management will make some comments and then will be available for your questions. With that, I'll turn the call to Mike. Mike?
Mike McLamb - Chief Financial Officer: Thank you, Brad. Good morning, everyone and thank you for joining this call. Before I turn the call over to Bill, I’d like to tell you that certain of our comments are forward-looking statements as defined in the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that may cause actual results to differ materially from expectations. These risks include, but are not limited to the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company’s ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I’ll turn the call over to Bill.
Bill McGill - Chairman, President and Chief Executive Officer: Thank you, Mike and good morning everyone. Let me start by saying for those of you who are impacted by Hurricane Sandy, our thoughts and our prayers are with you and also your communities. I will comment more on the storm later. We are pleased with our fourth quarter and fiscal 2012 results as we improved earnings $12.6 million over 2011 and reported a profitable year. Our team put forth exceptional efforts in a still challenged industry, and we ended the year with a revenue increase of about $44 million. This is more than a 9% increase from less stores driven by a double-digit annual same-store sales growth of over 11%. It is encouraging that we ended the year with a strong fourth quarter as revenues rose over $17 million, with an 18% increase in same-store sales. And for the eighth quarter in a row, our overall new boats unit sales grew. It is great to see growing number of reports that indicate that the industry health is improving given the soft economic recovery. To be clear though, the strength in the industry has primarily been in segments, where we have not historically been heavily concentrated. The growing segments are aluminum, almost anything with an outboard engine and jet boats, as well as certain segments of our core products. As a reminder, the bulk of our revenue comes from the stern-drive and inboard-powered boats. And as we have seen these other segments in the industry recover, we expanded our presence in those areas, such as pontoon products and more outboard products in select markets, where it makes sense. I am also very pleased to see that our core suppliers are broadening their offerings to include jet boats as well as more outboard-powered product for 2013, which should help drive sales and also market share. Also the initial reports that emerged as the September quarter closed indicated that our core traditional products are also starting to see some strength. Our stern-drive and inboard boat owners are still boating, and with the age of their boats increasing every year, opportunities for us should improve going forward. While it's way too early to get too excited, it's much better news than a few years ago. From an inventory and operating perspective, we continue to make improvements. We are comfortable with our current inventory levels and that speaks well to the strategies we have put in place to make sure we have the right models in our storage to meet our customers' demand for the selling season. Additionally, the cost reduction strategies we have put in place several years ago allowed us to grow our annual sales by over 9% and gross profit dollars by over 11%, while our expenses remained unchanged. The operating leverage that we indicated we would be able to achieve is now beginning to show up in our results. We are very focused on maintaining a lean and effective expense structure. However, as I’ve noted in the past we will not reduce our efforts to service our customers or help to ensure that they are enjoying the boating lifestyle. These efforts include our Getaway trips, mobile service, our educational classes and our captains that teach our customers how to really use their boat. As the industry recovery continues, we want to build on our investments in the long-term which we’re focused on over the past four years. Our team is proving we can succeed in controlling the elements that are within our control as indicated by our improved results. I’ll now ask Mike to provide more detailed comments on the quarter. Mike?
Mike McLamb - Chief Financial Officer: Thank you, Bill and good morning again everyone. For the three months ended September 30, 2012, our revenue was $137 million, up about 15% or $18 million from the prior year. Our same-store sales increased by 18%, our same-store sales growth was essentially across all categories of products we sell with the skew towards larger product. Geographically while most of our markets were up, Florida was the strongest of our markets. Based on available industry data our September quarter new boat unit sales for the segments we’re in, is above reported industry trends. For the quarter we grew gross profit more than $3 million or 10%. Gross profit as a percentage fell year-over-year because of the modest shift to sale of larger products combined with the mix shift of our overall revenue to more boat sales. The margins on the underlying products that we’re selling are doing fine. As Bill mentioned, we’re gaining operating leverage in the business, it’s nice to see the growth in sales and margin dollars in the quarter with an overall decrease in expenses. The largest driver in this expense reduction was the decrease of marketing dollars associated primarily with boat shows as well as costs incurred to maintain our inventory which comes as inventory aging improves. We’ve also taken a fresh look at every major recurring expense and have been successful obtaining additional reductions. For the quarter we had an income tax benefit of $60,000 compared to $34,000 last year. As we’ve said in the past our effective income tax rate will remain essentially zero for the near term primarily due to the limitations on our net operating loss carry back availability. We are very proud of our team’s efforts which resulted in a major narrowing of our net loss for the fourth quarter to $1.6 million or $0.07 per share compared to a net loss of $5.7 million or $0.25 per share last year. For the year I’ll highlight just a few items. Revenue increased over 9% to $524 million. Of this increase $53 million was due to the 11% increase in the same-store sales. We also increased gross margins almost 60 basis points, while we kept expenses flat improving our earnings overall by $12.6 million and producing a profitable year. On to our balance sheet, at year-end we had approximately $24 million in cash, up about 22% from last year. Keep in mind we have substantial cash in the form of un-levered inventory. Our inventory at year-end was about $215 million, which was down slightly form last year. The aging of our inventory also continues to be healthy. Turning to our liabilities, our short-term borrowings were about $120 million, but the same as last year. Our balance sheet is very solid. We ended the year with the current ratio of 1.63 and total liabilities of tangible net worth ratio of 0.82. Our tangible net worth stands at over $200 million. We own more than half of our locations all of which are debt free and we have no additional debt other than inventory financing. As we continued to work through the current environment, we are focused on positioning ourselves to gain leverage as sales improve and drive additional cash flow and earnings. I’ll comment that October started off strong and was poised to end strong and to Hurricane Sandy delayed may closings in the Northeast. It is also important to note that we had a strong Fort Lauderdale Boat Show in the midst of the hurricane which is very encouraging. While it appears the industry recovery is continuing, we need to get through the impact of the hurricane and the elections to get a clear picture of the sustainability of the recovery of our industry. With that background on the quarter and year, I’ll turn the call over to Bill.
Bill McGill - Chairman, President and Chief Executive Officer: Thank you, Mike. We’re still assessing the full extent of damages from Hurricane Sandy to our New York and New Jersey locations. And we did sustain damage from the storm at a number of the Northeast facilities as well as some damage to our inventory. Additionally many of our customers the same damage from the storm to their boats. The good news is that our team members and their families are all okay. Our team will respond to our needs in the needs of our customers as we are best positioned to service boaters in these markets given our ability to respond to these extreme weather conditions. From our years of experience from previous hurricanes, it's too early to quantify the impact to MarineMax, but since the storm hit at the start of the winter season, I suspect on a full year basis we should be in good shape by the start of the boating season. I will also remind you that we have been through multiple hurricanes in Florida and then in the Carolinas, and that our customers are very resilient. They are going to still want to get back and boat. Our year end and fourth quarter 2012 results plus the Fort Lauderdale Boat Show positive results gives us an increased confidence that the industry has begun to rebound. And that we will continue to build on these positive industry trends. Additionally, our customers are actively boating and our boats are aging more each year, creating a pent-up demand which will benefit us as consumer confidence returns. The earning power in our company is strong, and as sales improve, our expense leverage should result in exponential growth in cash flow and earnings. Not only can we generate internal growth through market share expansion, but we also plan to seek accretive external growth opportunities and contribute to our overall growth such as the recently announced expansion with Azimut and our recent acquisition in the Northeast. Assuming the boating recovery is sustained, we will remain focused on enhancing our gross margins. Our fee margins remain a top priority for us. Although they have may move from quarter-to-quarter, our overall goal is to expand margins year-to-year. MarineMax is well positioned as we continue to gain market share and strengthen our position as the leader in our industry. We do not just sell boats, but rather we sell – rather we sell a lifestyle that allows a person the ability to enjoy one time on the water. We are impacting the lives of our customers for the better. And as we connect them with their self and also with others, we believe the current technology environment will continue to enhance our new boat sales in future quarters as customers find the need to purchase more technological driven boats with enhancements, enhancements that were not offered in previous makes and models. As we have stated before, our customers are still out there, anxious to get on the water with their family and friends. We remain convinced that our financial strength, our proven operating model, our solid team, our prominent locations, and a broad array of brands supported by an apparent industry revival greatly differentiates MarineMax in the current marketplace. With our customer-centric strategies of teaching, servicing and showing our customers how to have fun with their family and friends, we are poised to create additional value for our customers and our shareholders as its recovery begins to take hold. And with that, operator, we’ll open it up for questions.
Operator: (Operator Instructions) We’ll take our first question from Jimmy Baker with B. Riley & Company.
Jimmy Baker – B. Riley & Company: Hi, good morning and thanks for taking my questions.
Bill McGill: Good morning, Jimmy.
Mike McLamb: Good morning, Jimmy.
Jimmy Baker – B. Riley & Company: I think you talked about some of your key OEMs extending their line up into some new categories and I was just hoping that maybe you could speak maybe more generally about the level of new product innovation that's out there for model year '13, maybe relative to other years in the post-recession era, and then kind of how your lines are measuring up against competing brands here in model year '13?
Bill McGill: Jimmy, we are very excited about what's going on in Brunswick with the new models. We went to the Fort Lauderdale Boat Show with the new 510 Sea Ray, with a new 37 venture near the outboard-powered sport cruiser, and also with a new 35 and updates on some other models, and we were very successful at the show, as our customers embraced the new models. Additionally, we are very excited about the jet boats coming back. We used to have the Sea Ray, their jet boat line back a bunch of years ago and we were very successful. I actually remember one year at our Clearwater store, I think we sold 400 of them. And so we are excited to see that business return. What's really exciting about it is one of the two competitors within the jet boat business are currently exiting. Bombardier is no longer there. So, really it's between Yamaha and now Sea Ray and Bayliner, because power pretty well controls the product there. And so that's very exciting. We have been pushing and Sea Ray and Bayliner have been responding for outboard models. And we all know that in our industry, the outboards is the segment that's really been growing the fastest, and so we see that as the real opportunity for us – for us going forward as well. You saw that we are now the entire U.S. distributor for the Azimut products and Azimut continues to give us new models. And there again, we had a very good show with the Azimut product as well. Bayliner, not Bayliner, but Boston Whaler has been giving us new models for a bunch of years now and continues to do so. And we see the results in our stores and also at boat show. So, I think it's an exciting time that Brunswick and Azimut have really stepped up with the new products. Now, that being said, also we are doing the Nautique in a bunch of our markets and they have some new models that are just kind of my passion, the skiing, even though my grandkid is into wakeboarding, but they got some new models, the G23 and G25, which are really game-changers in our industry. So, it's an exciting time ahead of us. And as we move forward, I think we are getting what we need as far as new products to offer to our customers to serve their pent-up demand.
Mike McLamb: It's probably the most new models that we have had to rollout, I bet you 7 or 8 years really.
Bill McGill: Correct.
Mike McLamb: In the long time which is very encouraging.
Jimmy Baker – B. Riley & Company: That's helpful. And I think it’s maybe the worst kept secret at this point that the industry faced the pretty severe mix headwind here in the 2012 selling season. And yet it sounds like your mix actually favored larger products here in the quarter, can you maybe talk about how you've been able to kind of grow against the grain in that regard?
Bill McGill: Well, you know the people that have discretionary dollars, a lot of them still are out there, and the desire for boating has not really changed, Jimmy. And with the products that we have from Azimut and some of the larger Sea Ray's, the customers are still out boating with us and their excitement to get the new product is there such that we have been able to drive that part of our business. And that the sport cruiser part of our business, which has pretty well been the heart of their business and the hardest hit in the industry, we are starting to see that come back as well. So, we are starting to move the needle in the right direction. Good news is and we have said this many times those customers, a lot of them are still out there boating. And as housing starts to recover and consumer confidence starts to come back, I think we'll see it come back. We are convinced that the sport cruiser market is not dead, it has changed some, but they are still out there and families are still wanting to connect to a greater extent and they do that through boating with MarineMax.
Jimmy Baker – B. Riley & Company: Okay. I just have one more, I'll back out of the queue here. I am just hoping that you could maybe talk a little bit about the impact of the election. It seems like I don't know a fairly prevalent opinion in the industry that a Romney win could be a meaningful boost to the big boat market. And one, would you agree with that? And two, if instead there is no change in the oval office, does that mean that we just kind of stay on trend here or does that present some downside risk in your view?
Bill McGill: Well, Mike was just cautioning me. So, as we talk to a lot of our customers and we do Azimut's events and Sea Ray events, and we take them by the numbers to the Bahamas and out to Newport or whatever it may happen to be, Nantucket, or out on the lakes. As we talk to them, for really the first time in many years, we hear them going out of their way to really say oh, my gosh we've got to stop some of this silliness, that's occurring in our country. And you know what our founding fathers would rollover in the grave with some of the things that have happened. And so obviously if we can make a change I think it will be a catalyst to our business like we haven’t seen in many, many, many years now that’s what I believe, that’s what we hear from our customers. And we actually had people at the Lauderdale Boat Show that wanted to write a contract and say well I’ll pay your price assuming that we make a change at election time, but if not I’m going to pay much less if we don’t. So, that’s kind of how our customers feel and how we feel it. But also if we do not make a change we will figure out how to get through it. A lot of people in U.S. are very resilient we are a country that is not going to become Europe. And somehow we’ll figure out how to get through it. But it will – it will not be as positive as if we can put a business person in running the country.
Jimmy Baker – B. Riley & Company: Right, very helpful. Thanks a lot for the time.
Operator: Now let’s take our next question from Peter Mahon from Dougherty & Company.
Peter Mahon – Dougherty & Company: Good morning guys, great quarter. Just got a few follow-up questions, same-store sales were 18%, and that was certainly ahead of our expectation, I was hoping you could maybe walk us through kind of how the quarter trended July to August to September to really get a feel of when that momentum started to change because if I remember correctly I don’t believe you guys gave quite that optimistic of an outlook on the June quarter call?
Mike McLamb: I think I’m sorry I think what we had said on that quarter call was that July was going well. I have to go back at my notes, but I think we’re feeling pretty good about July. We had positive comps to a degree in July positive to a degree in August. We had a very strong September which is good and usually the way the quarter falls July is a big month and September is a big month and August is not so much of a big month. There is a lot of boat shows in September in the Northeast and a couple in Florida that started kind of boat show season and the kids are back at school, so people are thinking about boating again. But we had strong close to the quarter although that I think every month was up on a comparable basis. But and it was broad based as I said I mean I believe all of our markets were up it was stronger in Florida. We did have strength in segments of the industry that have been reported down like inboard products and we saw improvements in stern-drive and so forth. And then some of the brands that we expanded with more than two years ago or about two years ago are contributing to some of the growth. Probably about a third of the overall growth was some of the new maybe a little less than third was the new brands. The existing brands like Sea Ray and Azimut the other brands that Bill mentioned were the primary drivers which is kind of encouraging. But it was good and then you follow that up with October that was going really pretty well. It got dampened a little bit because of Hurricane Sandy but we also have a great Fort Lauderdale Boat Show at the end of October which is encouraging. We just need to get through the elections and so forth and then determine exactly the sustainability of what we’re experiencing right now.
Peter Mahon – Dougherty & Company: Okay, so you would say that the strength that you guys saw in September was carrying over into the October obviously until the end of the month here in dealing with the hurricane.
Mike McLamb: Yeah.
Peter Mahon – Dougherty & Company: Will that be fair?
Mike McLamb: Yep.
Peter Mahon – Dougherty & Company: Okay. And then we definitely got a read on the tighter registration in Florida being not nearly as strong as you guys are alluding to, do you feel like you’re grabbing meaningful market share in this state or kind of what’s your sense about how things are trending there because obviously that will be a larger part of your business going into the winter months?
Bill McGill: We already – Peter, we already have very good market share in Florida and we believe we continued to gain the market share through these times and it’s because we absolutely have stayed focused on making sure our customers are out enjoying their boats and having fun. And we measure this satisfaction of our customers with what’s called net promoter score. And we have world class net promoter scores accompanying and it’s in the time that’s our customers are more demanding if anything and value their recreation even more. But we are convinced that we continued to take market share. And with the expansion of some of the brands as an example, Bayliner into the market and the growth of Azimut if you put it all together I think we get – we’re doing very well in these times and we will continue to do so.
Peter Mahon – Dougherty & Company: Great, thank you. And then just one final question, so to do with the selling and G&A expense line, do you guys feel you’ve done a lot of work to really control that expense line, do you feel like you have any room left to leverage that or are we kind have reached to level where now the margin expansion is really going come from sales growth?
Mike McLamb: I think there is probably – a CFO will always say there’s opportunities on the expense side of business. I think there is opportunities, but I think the opportunities are fairly limited. If there were to be some other step down in the industry we’d obviously go back and attack the structure in the company. But we don’t foresee that at sales of this level and with the occasions that we’ve got we are in pretty good shape from in SG&A perspective and now we got to drive same-store sales growth. We got to drive market share and we got to continue to drive margins overall through our higher margin businesses and also the products that we sell to gain some significant earnings and cash flow to the company.
Bill McGill: And we are investing into the charter business and big way and its meeting our expectations or maybe even exceeding it in some cases with initial run-up for the business. But it is a drain on our earnings right now, but it’s something that will be good for all other shareholders and our customers and the company long-term.
Peter Mahon – Dougherty & Company: Okay, great. Thanks a lot for your time guys.
Mike McLamb: Thanks Peter.
Bill McGill: Thank you, Peter.
Operator: (Operator Instructions) And we’ll take our next question from Joe Hovorka with Raymond James.
Joe Hovorka – Raymond James: Thanks guys. Couple quick things, first did you say you will not pay taxes or book that tax number for 2013 – for next year assuming you’re profitable?
Mike McLamb: We will not have tax expense for 2013.
Joe Hovorka – Raymond James: Okay.
Mike McLamb: I guess it depends on have profitable we are.
Bill McGill: Let’s hope we do.
Joe Hovorka – Raymond James: Okay.
Mike McLamb: We have a very large NOL that needs to be eaten up before we have a tax expense.
Bill McGill: What is that maybe you want?
Mike McLamb: It’s between $50 million and $60 million.
Bill McGill: Yeah.
Joe Hovorka – Raymond James: Did you give, go ahead?
Mike McLamb: With a little help, we’ll try to beat that.
Joe Hovorka – Raymond James: The unit comp number, did you give that number on the call?
Mike McLamb: I did not give the unique comp number, but I can tell you that if we had 18% same-store sales growth it was about 50-50 units versus maybe 55-45 units versus average unit selling price in migration to larger product.
Joe Hovorka – Raymond James: Okay. And your inventory is down at the end of the year with up sales I know you’ve been trying to drive…?
Mike McLamb: Right.
Joe Hovorka – Raymond James: Inventory turns, is it very want it to be now, do you want turns to kind of inch up a little bit from here?
Mike McLamb: We want it to keep improving from here. The industry turns and the industry have always been relatively low from our perspective. We’ve always been 2.5 to 3 times and were still far below that today. So, we are still striving for higher turns in the industry and I think Bill mentioned making sure we have the right models in the right store at the right time. And it is challenging in this environment when sales are still relatively low, you’re bringing 26 foot boat and the customer wants 24 foot boat and so you have issues like that. But we will keep making progress as we go through 2013 on our inventory turns.
Bill McGill: And with the lead time of manufacturing being greater now for most of our manufactures it’s important that we have to product. So, we’ve got a little more higher than we would do with the response time was less from the manufactures that I think that we believe it’s a prudent thing to do.
Joe Hovorka – Raymond James: And the lead time is greater now because of demand or…?
Mike McLamb: No, lead time in terms for them to build the boat takes longer.
Joe Hovorka – Raymond James: Right, why is that – why has that changed?
Mike McLamb: Because they’ve got less workers in their factories, so they – the manufactures scale back all of their operations that takes longer to build the given boat now than it used to.
Joe Hovorka – Raymond James: Alright, that’s all I had. Thanks guys.
Mike McLamb: Thank you, Joe.
Operator: And we’ll take our next question from Jimmy Baker with B. Riley & Company.
Jimmy Baker – B. Riley & Company: Thanks. Just had a couple follow-ups. First, a follow-up to Joe's question, are you seeing longer lead times in all product categories or more specifically just kind of in the big boat market?
Bill McGill: For sure, on the big boat market, I'd even say even on the smaller stuff though it takes longer than it did 5, 6 years ago, when the factories were producing three times the product they are producing today. And some of that is suppliers to the manufacturers like windshields and equipment to the boats. There is shortage of engines as an example, so that impacts it. So, when you put it altogether, it's not all in the manufacturers' control, because that they've got to depend on suppliers.
Jimmy Baker – B. Riley & Company: Okay. And I just wanted to ask about the Sandy impact, I realized very early to begin to quantify anything, but do you think it's fair just kind of directionally to claim it as a negative impact here in the December quarter, but potentially positive for the full fiscal year as you maybe take up some incremental high margin service and repair revenue as well as maybe some replacement boat sales?
Mike McLamb: Yeah. I think when we look back historically at nature or natural events, whether it's some of the storms we've had in the Midwest or the hurricanes we've had in Florida, what we have experienced is what you just said, you have – you usually have a spike in costs in the near term as you repair your facilities and pay deductibles and do things of that nature, which we are getting our hands around those cost as we speak. And then there is typically a – we got to reach out to our customers and help them get back in boating and work with our insurance companies fixing their boats. So, there is a usually a sizable service piece of the business that comes. And then as a replacement cycle, where some customers decide just to trade and do a new product or take their insurance check and buy a new product, which usually plays out over the course of the year. And then so it's hard to tell exactly on a quarter-to-quarter basis, how that's all going to play out, but I think on an annual basis, we should be fine on an annual basis.
Bill McGill: But you know, there is also the infrastructure for the customer. I mean a lot of them, their docks are gone and they are working on their home, and so that delays the focus on the boat for a while until you your home back going.
Mike McLamb: Right.
Bill McGill: And they've got to get docks rebuilt, etcetera, but I think long-term it won't impact our year as we said. If anything there it could be a positive.
Jimmy Baker – B. Riley & Company: Very helpful. Well, thanks for taking the follow-ups. And again, great quarter guys.
Mike McLamb: Thanks Jim.
Bill McGill: Thank you.
Operator: (Operator Instructions) And at this time, there are no other questions in queue. We'll turn it back to our presenters for any closing remarks.
Bill McGill - Chairman, President and Chief Executive Officer: Yes, thank you everyone for your continued interest and support in MarineMax. As always, I would like to thank our team members for their hard work and passion for our business and also our customers and especially those team members in the Northeast that are given it their all right now to get our stores back returned and take care of our customers needs. Due to their solid efforts, we are the leading boat retailer in the country and we are excited about the future. Mike and I are available today if you have any additional questions. And with that operator, thank you very much.
Operator: That concludes today's conference call. We appreciate your participation.